Operator: Good day, and welcome to the IDT Corporation's Fourth Quarter and Full Fiscal Year 2019 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three and 12-month period ended July 31, 2019. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode. [Operator Instructions] After the prepared remarks, Marcelo Fischer, IDT's Chief Financial Officer will join Mr. Jonas for Q&A. [Operator Instructions] Any forward-looking statements made during this conference call either in the prepared remarks or in the Q&A session whether general or specific in nature are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that may have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In the presentation or in the Q&A that will follow, IDT’s management may make reference to the non-GAAP measures including adjusted EBITDA, non-GAAP net income and non-GAAP EPS. Schedule provided in the IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the investor relations page of the IDT Corporation website www.idt.net. The earnings release has also been filed on a Form 8-K with the SEC. I will now turn the conference call over to Mr. Jonas. Mr. Jonas, the floor is yours sir.
Shmuel Jonas: Thank you, Operator. Welcome to IDT’s fourth quarter and full fiscal year 2019 earnings call covering results for the three and 12-month periods ended July 31, 2019. For more detailed report on our results, please read our earnings release filed earlier today and our Form 10-K which we will file with the SEC tomorrow. IDT achieved fourth quarter results that were relatively consistent with trends from the first three quarters of the 2019 fiscal year. Our growth initiatives, net2phone UCaaS Offerings, National Retail Solutions and our BOSS Revolution International Money Transfer Service continue the rapid expansions. Net2phone UCaaS business generated $7 million in revenue this quarter, a 78% increase year-over-year. Growth has been especially strong in our South American markets. At the quarter close, net2phone reached the 100,000 seat milestone. At National Retail Solutions, our retailer POS network increased revenue to $1.9 million up 72% from the year-ago quarter. We continue to expand our retail network and now have over 8000 terminals actively processing transactions. The growth in our network provides us with the scale to develop new opportunities for additional revenue generating services in the coming year. BOSS Revolution International Money Transfer revenue climbed to $6.9 million in the fourth quarter, a 42% increase year-over-year. Direct-to-consumer channel sales again powered the growth, increasing revenue 88% year-over-year to $4.4 million. Even though D2C has been a growth engine of this business for the last two plus years, we continue to work diligently on improving our retail channel offering. That tenacity is beginning to pay-off. Sales to our retail channel, which declined throughout 2018 increased sequentially in the third and fourth quarters. We believe that success at retail will allow us to compete more effectively online and at retail. As expected revenue from our core carrier services and BOSS Revolution calling offerings continue to decrease as a result of industry-wide headwinds in the paid [media] [ph] communications market. But the company wide margin impact was dampened by increased contributions from our growth initiatives. Consolidated revenue less direct costs of revenue has increased sequentially in each of the last three quarters. Consolidated adjusted EBITDA was $7.4 million in the fourth quarter and the year-ago quarter consolidated adjusted EBITDA was $16.8 million, but was a significant outlier to the upside as a result of changes to estimates for recognizing breakage revenue. For the full fiscal year, consolidated adjusted EBITDA was $30.8 million, compared to $38.2 million in fiscal 2018. Overall the fourth quarter marked a consistent end to a solid year, and I want to thank everyone in our company for all their hard work. As fiscal 2020 gets underway, we are working from a strong position to vigorously pursue our exciting growth opportunities. That concludes my comments on the quarter’s results. Now we would be happy to take your questions.
Operator: [Operator Instructions] And the first question we have will come from Aman Gulani of B.Riley FBR. Please go ahead.
Aman Gulani: Hi, guys, thanks for taking my question and good to see that the growth initiatives are continuing to ramp. So I guess my first question, can you talk about any M&A opportunities that you might be seeing. Specifically are you seeing any opportunities within something that will expand your UCaaS offerings or your point of sale offerings?
Shmuel Jonas: You mean as an acquisition or you mean in terms of?
Aman Gulani: Yes, like maybe like a tuck-in or a bolt-on that you can sort of add on to acquire more customers and to sort of get that those two businesses growing maybe quicker or maybe get into other markets. Is there anything that you might be looking at right now? Or is that something that you're thinking about?
Marcelo Fischer: Sure. Hi, this is Marcelo. No, we were very pleased with the way that the net2phone business ended 2019. We felt that reaching the 100,000 seats mark was a real great accomplishment for the entire team. Our initiatives in Brazil, Brazil, and Argentina and the U.S. and the acquisition in Canada all grew very nicely during the year. And we just started operations in Mexico and Colombia as well about to start as well in Hong Kong. So we are growing geographically around the globe. At the same time, we are looking at different acquisition opportunities in the space at any day of the week now we are being presented with opportunities, both in the U.S. as well as outside of the U.S. And we are now evaluating those additional opportunities as they come in. And we have some nice aggressive objectives to continue to grow seats in this coming fiscal year.
Aman Gulani: Okay, thank you. That's helpful. Okay and more on the UCaaS business. Clearly Brazil and South America, South American market are performing very well. Do you have any plans to target any other markets where you think that you can achieve similar growth rates?
Marcelo Fischer: Well, I mean, yes, I mean we are looking to expand into other geographies. But now, even that the current geographies we are in right now, we are really just scratching the surface. I mean like in Brazil alone, even though we are seeing such a large growth, we are really just in the main cities, Sao Paolo, a little bit in Rio de Janeiro, in Brazil alone there is such a large opportunity. If you go to Curitiba, Porto Alegre and Belo Horizonte and Manaus and other cities, and the same holds true for Argentina, and we’re just entering Mexico right now, which is a huge opportunity. So yes, well, on one hand, we are looking to expand into other countries as well. But there's just so much opportunity right now even the existing countries, we just came in. So whether we grow deeper in current countries, or we go into other geographies, we are probably going to do both. But that's plenty to do in the countries we are in right now.
Aman Gulani: Thank you, very helpful. Okay. And then just moving on to your NRS business. So you're adding new terminals at a pretty - an accelerated rate. But I mean relative to last year slowed down a bit. What's the reason for like the slowdown in the terminals that you're adding, and you were doing it almost like 1000 a quarter last year, I think it's come down to about 600 this year. So just trying to get a better feel of what's going on there?
Shmuel Jonas: I think two things have happened. One is that we've changed the pricing on the terminal. And we really did it mostly with the idea of being able to bring on more Merchant Services accounts with accounts that we're going after, rather than accounts that don't do merchant services with us. And that's what I would say slower sales in the first quarter, but better sales. But I think that as the year progresses, we will do better both on sales and quality of sales, it just took a little time to get sales channels used to a higher price.
Aman Gulani: Got it, okay. And just last question from me. So I think in your prepared remarks, you mentioned you could add additional revenue opportunities once you start scaling that business, could you talk about those additional revenue opportunities?
Marcelo Fischer: Yes, I mean our big ones that we've talked about a little bit publicly are in the data and in advertising sales. On the data side, there's a big need for what I'll say is a big black hole of sales that happened in the independent retailers and being that we’re probably already the largest point of sale system in independent convenience stores, there's a lot of need and desire for our data. So we've been doing pretty well already, and we just hired a new lady to lead that team. And they have very, very aggressive growth plans for the data side of the business. On the advertising side of the business, it's also done much, much better of late. And again, we're just really starting to go after targeted ads. And as the person is buying this, marketing them, something else et cetera. So we're a big believer that the advertising is going to continue growing quite steadily.
Aman Gulani: Got it. Thank you. I'll pass it on.
Operator: [Operator Instructions] Well as there are no more questions, this will conclude our question-and-answer session and today's conference call. Again we thank you all for attending today's presentation. At this time, you may disconnect your lines. Thank you again everyone. Take care and have a great day.